Helen Lofthouse: Good morning, and welcome to ASX's results briefing for the first half of the financial year ending 31st of December 2025. Thank you for taking part in this virtual presentation, and I hope you're well wherever you're joining us. My name is Helen Lofthouse, and I'm the Managing Director and CEO of ASX. I'm pleased to be presenting these results today, along with ASX's Chief Financial Officer, Andrew Tobin. I'd like to acknowledge the Gadigal people of the Eora Nation, who are the traditional custodians of the country where I'm speaking today. We recognize their continuing connection to the land and waters and pay our respects to elders past and present, and we extend that respect to any First Nations people joining us today. Before discussing the results, I wanted to address the CEO transition. So, on Tuesday, we announced that I'll be stepping down as Managing Director and CEO of ASX in May this year. It's been a privilege to serve ASX for 11 years, almost 4 of which as CEO at an organization that's at the heart of Australia's financial markets. It's been a challenging time for ASX with some tough decisions along the way. And I'm particularly proud of the achievements we've made on our transformation journey during my time as CEO. And it's been a rewarding but also demanding journey with enormous personal growth. And having reflected on what ASX needs for its next phase, together with the Board, I've agreed that this is the right time for a new person to bring fresh energy to the work ahead. And we've made great strides even as we face challenges, and I want to thank everyone at ASX for their dedication and support and our customers for their partnership. And as you'll have seen in the announcement, a comprehensive process is now underway to identify the next CEO. So moving now to today's presentation. It will cover areas, and then Andrew and I will take your questions. So I'll begin by talking about highlights from our first half results before Andrew provides a more detailed view. And the main focus of my presentation will be on the outcomes and commitments arising from the ASIC inquiry panels interim report and an update on our transformation strategy. And I'll then provide an update on progress on some of our customer-driven growth opportunities and conclude with some observations on market outlook and its implications for ASX. And we'll finish with Q&A. So let's begin with some highlights from our first half results. As you may have seen, we announced the headlines of our unaudited first half results on the 28th of January, alongside updated FY '26 total expense growth guidance. And today, I'm pleased to provide a more detailed view of our results. ASX delivered a solid financial performance in the half with particularly strong revenue growth. We reported operating revenue of $602.8 million, which is up 11.2% compared to the prior corresponding period or PCP. Underlying net profit after tax increased by 3.9% and was impacted by the growth in total expenses. Statutory profit was up by 8.3%, noting that significant items impacted the PCP. The Board has determined a fully franked interim dividend of $1.018 per share, reflecting a payout ratio of 75% of underlying NPAT, which as we flagged in our announcement in December, is at the bottom of our updated guidance range. Our EBITDA margin decreased by 180 basis points to 61.4%, primarily impacted by the growth in total expenses, including the cost of our response to the ASIC inquiry. Underlying return on equity was stable at 13.5%. Moving now to the ASIC inquiry. The ASIC Inquiry Panel released its interim report in December last year. The interim report represents a critical inflection point for ASX. It contains some serious interim findings, and we've taken the time to reflect deeply on the primacy of ASX's stewardship role as an operator of critical market infrastructure. And for us, stewardship means that we are trusted custodians who are accountable for delivering long-term sustainable outcomes for the Australian economy, supporting innovation and growth. Every day, we run critical market infrastructure that sits at the heart of Australia's financial markets and supports the stability of our financial system. Our markets help direct capital to where it's needed, driving Australia's economy and helping our customers and investors grow. And with this role comes significant responsibility to manage risk well, build resilient systems for the long term and continue innovating to prepare Australia's markets for the future. ASX has enjoyed a history of solid financial success and notable commercial and service innovation. And this has been an enduring strength for us, but it has not always served us well. At times, it's allowed a level of complacency and insularity to surface instead of benchmarking ourselves to the highest standards. And in more recent years, we've had too many instances where our customers and regulators have had their confidence tested. Our challenges have been many years in the making. And while there have been material changes over the past three years, we're taking immediate steps to make further changes, which will likely require a multiyear effort. We're committed to building an ASX that is sustainably different into the future. And the ASIC inquiry panel's interim report is tough reading, but it's fair. The inquiry process and the interim report have prompted us to carefully consider why some parts of our transformation strategy haven't progressed as quickly as we would have liked and what cultural factors have made it challenging to achieve. The panel's interim report states that it contains the substantive conclusions that will comprise the basis of their final report, which is to be released by the end of March this year. ASIC proposed a strategic package of actions for ASX to address the recommendations that the report contained. And we've committed to delivering these actions, and I'll talk about how we're doing this in a bit more detail shortly. Importantly, the inquiry panel also identifies the need for a new supervisory approach, which places greater emphasis on delivering outcomes that can benefit the whole market with open constructive engagement from all parties. Implementing our commitments to ASIC is a high priority for us. As we said at our announcement on the 28th of January, we'll deliver our commitments planned to ASIC by the end of this month, and we're already getting on with delivering the outcomes. First, we're creating a clear dedicated governance structure for our clearing and settlement functions. It will promote the independence of and responsible investment in each of the clearing and settlement facilities to support financial system stability. All ASX Limited directors have now stepped down from the clearing and settlement facility boards, which now comprise only independent nonexecutive directors. These boards will also be supported by dedicated resources as well as clearly defined shared services support from ASX Group. Our aim is to bring greater independence while maintaining the benefits for these entities and our customers of being part of the ASX Group. Our second commitment is to reset the Accelerate program. This is a vehicle delivering long-term enterprise-level change to enhance how ASX delivers on its stewardship of critical market infrastructure, embedding risk management excellence, resilience and sustainable business operations as standard practice. We are conducting a strategic reset of this program to align with our regulators to set appropriately aspirational work stream target states and with an additional governance and independence work stream to address key findings from the interim inquiry report. Work on this reset is underway, and we'll aim to agree our final plan with our regulators by the end of June this year. I'll talk in more detail about our approach shortly. Third, ASX will accumulate an additional $150 million above our current net tangible asset value by the 30th of June 2027. This capital charge is expected to be funded by lower dividend payments for at least the next three dividends at 75% of underlying NPAT, the bottom end of our revised dividend ratio -- payout ratio range. We also intend to operate a discounted dividend reinvestment plan for at least the next three dividends. And this work is being delivered as part of a strategy, investment and capital work stream as we refresh our strategy and ensure that we have the right investment plans in place to support it. It's important that our people demonstrate behaviors and decision-making that are aligned with our role as a steward of critical market infrastructure. ASX's leaders are expected to model these behaviors, which are now part of our performance and remuneration structures to ensure that these are deeply embedded and enduring in our organization. Our Board have an intense focus on this area of uplift, which we're delivering as part of the culture, capability and capacity work stream in the Accelerate program. And finally, we welcome the inquiry panel's recommendation for a revised regulatory approach that provides strong alignment to deliver outcomes that can benefit the entire market. And this involves uplifting our own regulatory engagement, too. The ASIC inquiry panel is expecting to publish a final report by the end of March, and we welcome further insights that it may provide. Now I'll focus on some important milestones that we've achieved in the past three years as part of our transformation. So, three years ago, we launched our strategy to transform ASX, and I'm proud of the progress that we've made in many areas during my time as CEO. And the inquiry panel's interim report underscores an even greater urgency to the transformation that we're pursuing. The investments we've already made in ASX through each of our strategic pillars have been important. So I want to focus on some key ones today. We've significantly reduced our technology risk and are building future-ready technology by delivering our modernization road map. And this includes the delivery of key ASX-wide capabilities such as our data, digital and observability platforms as well as cloud services. And these provide reusable capabilities for our critical services that are delivering scalability, resilience, security and best-in-class technology for ASX and our customers. We're partnering with our customers to evolve our offering and shape the future of financial markets. I won't list all of these new customer-driven initiatives as there are many, but some examples include the increase in trading opportunities from the creation of a post-auction trading session for our cash markets and the delinking of the bond role, driving greater liquidity in our rates futures market. We've also added environmental futures and debt market data products to our offering. And we've been undertaking some key reforms in our listings market as we look to play a leadership role in strengthening Australia's public markets. And we're enhancing our data and digital capability with a new platform that makes trusted data accessible, securely managed and integrated with analytics. Over time, we aim for all of our key data to be on this platform with AI to provide new insights for our customers to help them make decisions. And finally, as part of our commitment to invest in our people and ASX' culture, we now have a modern workplace experience here at our new head office in Sydney. As I said earlier, the ASIC inquiry panel's interim report is a critical inflection point for ASX. It comes at a time when markets and technology are changing fast. And as a Board and executive team, we are reflecting on our strategy and where changes may be needed to reflect the changing environment and our future aspirations. It's an opportunity to focus on the next horizon and on innovation for a future-ready exchange to power a stronger economy while also incorporating learnings and feedback from our stakeholders. Our strategy refresh will reflect our special position in the Australian economy and in supporting financial system stability. We run critical market infrastructure every day and the financial markets depend on us. We'll continue to focus on partnering with our customers and innovating to deliver the solutions that they need to prosper. And an important part of our strategy refresh is our role in shaping and stewarding the future of Australia's financial markets and how we deliver them to the world. Tokenization of assets, digital currencies, real-time trading and settlement and instant movement of collateral around the world are all important developments, which we're exploring. The Board and executive team are taking this important work forward together, and I know it will continue to evolve with the contributions of a new CEO in due course. ASX's technology underpins the daily operations of our markets and services. And we've taken a strategic approach to our long-term investment in technology, and this is delivering the enterprise capabilities we need now as well as supporting innovation and scale into the future. Our technology strategy is centered on core enterprise platforms, which provide our key ASX-wide services and are delivered as part of the major projects in our modernization road map. These projects are not just about replacing the technology that we have, they're building our future capability, flexibility and speed to market as markets evolve. We're leveraging leading global capability through our technology partnerships so that we can keep pace with emerging trends, innovation and best practice. We partner with a leading global cloud provider, delivering scalability, security and resilience for our new clearing and settlement services. We're also using cloud services for our new data platform, which, as I mentioned earlier, will enable new insights for our customers to help them make decisions. Our partnerships deliver the security, availability and recoverability that are important for critical market infrastructure. And we're also implementing an end-to-end observability platform to accelerate our detection of anomalies that could disrupt our services, improving our resilience and supporting our ability to operate through disruption. We're also partnering with specialist industry providers for business-specific applications. And this includes NASDAQ and TCS, who are delivering modern trading, clearing and settlement platforms with us. These best-in-class offerings benefit our customers with leading capability and ongoing globally driven product evolution for the future of Australia's financial markets. Our investments in technology mean that we're making product and process enhancements in some areas without some of the constraints of a legacy technology environment. As we look forward, these platform capabilities can provide the foundation for us to shape the future of financial markets. We'll consider global trends and explore innovation opportunities such as scaling our adoption of AI, end-to-end digitization for our customers and the digitization of financial markets for Australia. So let's focus on our technology modernization delivery road map, which we published at our AGM in October. We then -- since then, we've commenced our rollout of new network equipment to customer sites as part of our trading networks infrastructure replacement project. And when it's complete, it will deliver upgraded, resilient customer connectivity with current trading platforms, but also for upcoming cash market trading platform enhancements and for the new derivatives market trading platform. And for the derivatives market trading platform, our previous target window for go-live was late FY '27 or early FY '28. And as you can see on this road map, this has been updated to target late FY '28. Once it's in place, customers will benefit from a contemporary platform, which is aligned with global industry standards. It will deliver enhanced features and functionality, including new order entry and market data protocols and improved integration with our customers' pre-trade risk management systems. ASX will continue to invest in technology to support the evolving needs of financial markets now and into the future. For Release 1 of the CHESS project, ASX is targeting go-live in April 2026. This is a significant milestone for ASX and for Australian financial markets. The production parallel test is currently underway ahead of final preparations for all approved market operators for go-live. Release 1 will mean that we're delivering our clearing services on a contemporary platform, supporting resilience and security as well as growth in market volumes. And Release 1 is an important step in the delivery of ASX's technology strategy. It leverages the new cloud and data platforms, which provide improved resilience and secure access to high-quality data. Work on Release 2 continues in parallel with Release 1 with the first code release to the external industry test environment targeted for March this year. Our primary build is targeting to be completed by the end of 2027, and we've allowed a significant amount of time for industry testing and readiness preparation ahead of our targeted go-live in 2029. As we've previously announced, Clive Triance, our Group Executive of Securities and Payments, will be retiring. I'd like to sincerely thank him for his contribution to ASX. He'll be stepping down at the end of this month, and Andrew Jones, who's currently General Manager of Equities, has been appointed as Interim Group Executive. Andrew's instrumental role in the CHESS project ensures continuity as we move towards Release 1. The Accelerate program is the other key element of the great fundamentals pillar of our transformation strategy. The objective of this program is to enhance how ASX delivers on its stewardship of critical market infrastructure. It's embedding risk management excellence, resilience and sustainable business operation as standard practice. And we'll achieve this through a series of work streams, many of which we've talked about before. And since launching midway through last year, we've delivered key milestones, including uplifted core enterprise-level risk frameworks and controls, remediated key technology risks and launched a leadership program to develop our capability to drive our transformation. As I said earlier, we are undertaking a strategic reset of this program. We're carefully reviewing the target states for each work stream to make sure that they're appropriately aspirational. And this program is a high priority for us. We're aiming to agree the scope and target states of Accelerate with our regulators before the end of June. And I'll now hand over to Andrew to provide a detailed view of our financial results.
Andrew Tobin: Thanks, Helen, and good morning, everyone. As announced on 28th January, we delivered strong operating revenue in the first half, demonstrating the quality of our portfolio of businesses. Operating revenue was $602.8 million, which was an increase of 11.2% compared to the prior corresponding period or PCP. Total expenses for the half were $264.3 million, which is up by 20%. Excluding the additional expenses relating to the ASIC inquiry, total expenses growth was 12.1% for the half. Net interest income was down by 6.7% to $40.2 million, impacted by lower earnings on ASX cash balances due to cuts in the RBA target cash rate. This was combined with higher interest expenses from the commencement of the lease at our new head office in Sydney. Underlying net profit after tax was up 3.9% compared to PCP as the strong revenue growth was partially offset by higher total expenses and lower net interest income. ASX's statutory net profit after tax was up by 8.3%, noting that significant items impacted the PCP. Our EBITDA margin was 61.4%, a decline of 180 basis points. And our underlying earnings per share of $1.357 is broadly consistent with the trend in underlying net profit after tax. Underlying ROE generated in the half was stable at 13.5% compared to the PCP. Now turning to the business unit revenue outcomes. Starting with Listings. Total listings revenue grew by 1.4% to $106.4 million compared to PCP. Annual listing fees make up just over half of total revenue for listings and are driven by market capitalization as at 31 May each year. Higher market capitalization in May 2025 supported revenue growth of 3.2% to $57.3 million in the period. We recognize the revenue derived from initial listings and secondary raisings over five years and three years, respectively. And so the revenue outcomes reported mainly reflect prior period activity. This is shown in the bar charts on the slide. This amortization profile was the primary driver of lower initial listings revenue recognized in the half of $9.1 million, down 3.2%. Secondary raisings revenue was $34.3 million, down 1.7% compared to PCP. Investment products and other listing fees were up 11.8% due to a higher number of ETF listings and growth in funds under management. Total net new capital quoted for the half was $27.3 billion compared to a net decline of $9.2 billion in 1H '25 due to stronger activity across our listing markets, particularly secondary raisings and dual listings. Moving now to the Markets business. This business generated revenue of $192.7 million, up 14.4% compared to PCP. Futures and OTC revenue of $142.9 million was up 13.1%, supported by a 10.5% increase in total futures and options on futures volumes as global interest rate market conditions in the period drove strong activity across the curve. Strong growth was observed across all major products, including 90-day bank bill futures and 3- and 10-year treasury bond futures with traded volumes up 14%, 13% and 10%, respectively. Commodities revenue was up primarily driven by higher trading activity in electricity derivatives. Cash market trading revenue was $41.6 million, up 24.6% on PCP, driven by a 22.7% increase in the total ASX on-market value traded. This was also supported by options traded value, which was up by 19.2%. ASX's share of on-market cash market trading averaged 88% for the period, which was consistent with the PCP. Equity options revenue was $8.2 million, down 4.7%, reflecting lower trading activity in single stock options, which was partially offset by an increase in index stock options. Now looking at the Technology and Data business. Today, we have published several new drivers that give a clearer view of the key revenue drivers for this business, which I will now outline. Technology and Data had another strong period with total revenue of $142.9 million, increasing by 7.5% compared to 1H '25. Information Services generated revenue of $89.3 million, up 8.6%, supported by strong demand for data across equities and derivatives markets. This drove real-time display and nondisplay data with the latter reflecting growth -- the growth trend in machine readable data that we have seen in recent years. Technical Services revenue of $53.6 million was up 5.7%. Growth was primarily driven by an increase in connectivity services, which provide access for participants to our markets. The number of ALC cabinets declined in the period, primarily due to customer consolidation and a shift in mix towards higher-powered cabinets, which attract a higher average fee for ASX. And finally, moving on to our fourth business segment, Securities and Payments. This business generated revenue of $160.8 million, up 18.5%. Issuer Services and equity post-trade services are subject to the new building block pricing model, which was implemented from 1 July 2025. Under this model, ASX's revenue requirement is derived by applying a regulated return to the efficient cost of providing these services. The revenue figures announced today are net of any over or under return experienced in the period, and we have accrued an over-recovery rebate of $7 million in the half. We provide a more detailed breakdown of this revenue calculation in the appendix of the investor presentation. Issuer Services revenue was $34.8 million, up 15.6%, driven by primary market facilitation fees and a higher number of CHESS statements issued, reflecting higher activity in cash markets. Equity post-trade services revenue also benefited from higher activity in cash markets, increasing by 22.2% to $81.5 million. Austraclear generated revenue of $44.5 million, up 14.4% compared to last year. It benefited from strong debt market activity during the period, leading to a 13.2% increase in transaction volume and 8.9% growth in the balance of issuances to $3.2 trillion at 31 December. Austraclear revenue also includes the net operating contribution from Sympli, ASX's property settlement joint venture. ASX's share of Sympli's operating loss was $4.4 million compared to a loss of $5.3 million in the PCP following a further restructure of their cost base. There remains ongoing uncertainty around the timing of interoperability between e-conveyancing platforms, and we continue to review the strategic value of this investment. Turning now to expenses. Total expenses for the half were $264.3 million, up 20% on the PCP. Operating expenses relating to our response to the ASIC inquiry was $17.3 million in the period. And excluding these additional costs, total expense growth was 12.1% or 7.8%, excluding depreciation and amortization. Employee expenses were up by 3.8%. Average permanent and contractor headcount increased from 1,265 in the PCP to 1,354 at the end of this period. The growth in project-related headcount primarily relates to our technology modernization program and OpEx headcount growth primarily relates to the investment in the Accelerate program. Technology expenses were higher, primarily due to higher licensing fees and costs related to the technology projects. Growth in administration expenses was driven by investments in the Accelerate program. And we reported depreciation and amortization of $31.9 million, up 54.1% as more elements of our new technology systems started to go live. This reflects our expectation of D&A increasing by approximately $20 million each financial year for the medium term. Turning now to total expenses growth. On 28th January, we announced an increase to our FY '26 total expense growth guidance range from between 14% and 19% compared to the PCP to be between 20% and 23%. Excluding the costs related to our response to the ASIC inquiry, we are guiding for total expense growth of between 13% and 15%. There are three key drivers of the higher range. We are increasing investment in the capacity and capability of resources to uplift risk management and support our major technology platforms. We have progressed the development of our commitments plan to respond to ASIC as part of the inquiry interim report. And finally, we have updated forecasts associated with trading volumes, primarily postage and timing of various legal actions. We also announced that we expect costs related to our response to the ASIC inquiry to be at the upper end of the previously provided $25 million to $35 million range, which now includes the expected commitments plan costs. We intend to provide FY '27 total expense growth guidance by the end of the financial year. Now moving to capital expenditure. CapEx for the first half was $83.1 million, and we are guiding for FY '26 CapEx to be between $170 million and $180 million and $160 million and $180 million in FY '27. This reflects the multiyear delivery profiles of our major projects, but noting the inherent delivery risks in the technology program may impact this guidance. We also expect an average depreciation and amortization schedule of 5 to 10 years for these major projects once they go live, noting that the CHESS project is expected to be amortized over 10 years. Moving now to net interest income. Net interest income consists of net interest earned on ASX's cash balances and net interest earned from the collateral balances lodged by participants to meet margin requirements. Total net interest income for the half was $40.2 million, representing a decline of 6.7% compared to the PCP. Interest income on ASX group cash of $26.8 million was down 16.8%, impacted by a lower RBA target cash rate in the period. Financing interest expense was 10.7% lower, largely driven by lower financing costs related to the corporate bond. Lease interest expenses primarily relate to the lease for our new headquarters in Sydney, which commenced on 1 October last year and also equipment leases. Net interest earned on the collateral balances was $26.1 million this half, up 16.5% compared to the PCP. This reflects an increase in the average collateral balance to $12.3 billion this half due to growth in activity across our markets. This was combined with a 3 basis point increase in the average investment spread on these balances to 18 basis points, driven by higher returns on government securities and overnight reverse repos. And we expect this spread to stay around the current level for the remainder of the financial year. The average collateral balances subject to risk management haircuts increased from $7.7 billion to $8.5 billion this period as overall collateral balances increased. As at 31 January, average collateral balances of $10.3 billion and balances subject to risk management haircuts of $6.8 billion were below the first half average, primarily due to the netting impact in index futures combined with a reduction in open interest. ASX's balance sheet continues to be strong and positioned conservatively with an S&P long-term rating of AA-. From a shareholder return perspective, underlying ROE for the half was 13.5%, which was stable compared to the PCP. An increase in reported underlying profit was offset by an increase in total equity over this period. As Helen mentioned earlier, we will accumulate $150 million above our current net tangible assets in line with our commitments to deliver ASIC's strategic package of actions. As part of this capital accumulation, the Board has declared an interim dividend of $1.018 per share for the half, which as previously indicated, is at the bottom end of our dividend payout ratio range of between 75% and 85% of underlying NPAT. In addition, we are also introducing a 2.5% discount to our existing dividend reinvestment plan. Depending on the participation rates in the DRP, we also have the flexibility to partially underwrite the DRP to achieve our capital targets over time. Our balance sheet and capital management options provide the flexibility to support ASX's future funding requirements. We currently hold available cash and short-term investments in excess of $200 million above the financial resource requirements for our licensed entities. This includes default and nondefault requirements to support our clearing and settlement licenses as well as financial resources to support the group's 5 other licenses, including its two financial markets licenses. We increased our default fund contribution by $50 million during the period to support the cash equities and exchange-traded options clearing business. Other financial resource requirements, which are calculated primarily based on revenue and expenses for the licensed entities, also increased by a similar amount. As mentioned previously, we will be accumulating an additional $150 million above the 31 December 2025 NTA position by June 2027. So, to summarize our results, the strong operating revenue we reported in the half reflects the strength of ASX's diversified businesses. Our medium-term underlying ROE target range of between 12.5% and 14% reflects our focus on our ongoing investment in the organization as well as delivering the right products and services for our customers. And with that, I will hand back to Helen. Thank you.
Helen Lofthouse: Thanks, Andrew. So I'll now provide an update on our customer-driven growth opportunities before finishing up with outlook and guidance. Growing and improving our offering by listening to and partnering with our customers remains a priority by improving market quality and pursuing new initiatives. And today, I'll provide an update on the progress of some of our near-term opportunities. Market quality is about ensuring that our markets have the right settings to create transparency and liquidity and to drive capital allocation to the right opportunities. And as I mentioned earlier, we recently announced the appointment of seven members to the newly constituted advisory group on corporate governance, which replaces the ASX Corporate Governance Council. Chaired by Dr. Philip Lowe, this advisory group has been appointed to act in the interest of the market as a whole with members bringing deep expertise in listed entity governance, investment, superannuation, markets and stakeholder engagement. We also have an ongoing review into potential changes to the listing rules, which relate to shareholder approval requirements for dilutive acquisitions and changes in admission status for dual listed entities. We've received 45 submissions, and we look forward to providing an update later this half. These activities are examples of how we make sure that our market keeps evolving to remain attractive to companies and investors in Australia and around the world. And new initiatives are about adding new products and services in partnership with our customers to give them what they need to prosper as the global economy evolves. In the first half, we launched options over gold ETFs, which extends our ETF options offering into the commodities asset class for the first time. And we also added morning and peak electricity contracts to our environmental futures product suite as our customers' risk management needs evolve. And we've had our first customers use our ASX colo on-demand service, which we launched in late June as part of our -- an expansion of our technical services offering in our technology and data business. And this is a fully managed Infrastructure-as-a-Service solution within the Australian liquidity data center. It enables rapid client onboarding and scalability, allowing access to ASX's trading and clearing and settlement services without the need for on-premises equipment. So, looking now to outlook and starting with our listings business. There was solid momentum in listings activity in the first half. And during that period, there were 62 new listings, including the IPO of BMC Minerals as well as several dual listings, including Channel Infrastructure and Ryman Healthcare. And we're seeing a higher level of inquiries from entities considering a listing compared to this time last year. And as I just mentioned, market quality is a key focus for us and net new capital quoted is an important metric to measure the quality of our listings market because it takes into account delistings, new listings and secondary capital raisings. Net new capital quoted was $28.7 billion in the first seven months of the financial year, which was driven by this new listings activity as well as secondary capital raisings. And we also saw significant growth in the number of international listings with 13 in the first half, which demonstrates our strong global value proposition. Strong cash market activity continued into the second half with total value for January up by 47% compared to the same month last year. And we've seen volume growth continue to be driven by volatility caused by geopolitical events as well as expectations around local and global central bank monetary policy. Strong passive manager flows are also driving growth in options activity, particularly during index rebalancing events. Total futures and options on futures volumes were also strong in January, increasing by 31% compared to the prior period. The current rate futures environment remains supportive with activity across the curve. And at the short end, activity has been driven by changing market expectations around RBA monetary policy settings. And at the longer end of the curve, volumes have been driven by domestic and foreign issuance of Australian debt and global economic dynamics and their impact on Central Bank rates and currencies. Moving now to guidance. So as announced on the 28th of January, total expense growth for FY '26 is expected to be between 20% and 23%. And this includes the operating expenses associated with our response to the ASIC inquiry and development of our commitments plan and is expected to be at the upper end of our $25 million to $35 million range. Excluding these additional costs, we expect total expense growth of between 13% and 15%. FY '26 capital expenditure is expected to be between $170 million and $180 million and for FY '27, between $160 million and $180 million. As you know, the majority of our CapEx spend relates to the major technology projects as part of our modernization plan. Future investment by ASX, which will be considered as part of our strategy refresh, will reflect aspirations for innovation, findings from the inquiry panel and change load on ASX and our customers. Given the CEO transition, we'll no longer be holding our investor forum in June. Instead, we intend to provide our FY '27 total expense growth guidance together with CapEx guidance for FY '28 by the end of the financial year. And finally, underlying ROE remains a key metric as we continue to focus on growth opportunities while increasing our investment in the organization, and we're targeting between 12.5% and 14% in the medium term. Thank you, and I'll now invite questions.
Operator: [Operator Instructions] Your first question comes from Julian Braganza with Goldman Sachs.
Julian Braganza: Just a couple of questions from me. Just firstly, on the spread just on the participant balances, that continues to improve 18 basis points. Can you just help us understand better that trend has been consistently improving over the last few halves. Just want to get a sense whether there's a bit of conservatism here or just in terms of the outlook, how should we be expecting that to track?
Helen Lofthouse: I'm sorry, Julian. I didn't quite -- did you catch that Andrew?
Andrew Tobin: The spread movement.
Helen Lofthouse: Okay.
Andrew Tobin: So, Julian, if I understand the question, it was the 18 basis points on the spread that we reported. We are expecting to see that extend into the second half of this financial year. But beyond that, at this point in time, we haven't provided any guidance. To your point, though, it has been expanding. We have seen changing in dynamics with the reduction in cash in the overall system. That is providing further opportunities to increase that spread slightly. But we're really focused at this point in time on the second half, which is to continue with that 18 basis point spread into that second period.
Julian Braganza: And has that spread been improving over the course of the half? Is that how we should be thinking about it?
Andrew Tobin: Julian, I think the prior period comparison, it went up by about 3 basis points. So it can move around a little bit in any given month, but we're talking 1 or 2 basis points here in the scheme of things, but 18 basis points for the half, and that's expected to continue in the second half.
Julian Braganza: Okay. That's clear. And then maybe just on the market futures average fee per contract, that improved to about $1.40. Can I just understand the thematics that's driving that improvement and also just your expectations around that going forward?
Andrew Tobin: Yes, happy to. So we've seen a significant increase in volume over the period and also a change in mix. Commodities is part of the answer here that we've seen an increase in the commodities futures contracts over that period of time. And we've also seen the rebate process or outcome change over that period. So it's a combination of mix, higher commodities volumes coming through and sort of a lower rebate rate per contract over the period that's led to that $1.40. We haven't given guidance going forward, but you can see sort of that moves around depending on the mix of products there and that rebate mix.
Julian Braganza: Okay. Got it. That's clear. And then maybe then just touching on the settlement and clearing business here. I just want to understand just in the appendices, the expense allocation to that division. It feels like there's been an increase in expenses based on the management accounts that were published for FY '25 and what you're giving us here for FY '26 seems like it's about $20 million, $25 million. It's about probably half the expense increase for the operating costs for the ASX Group ex the ASIC inquiry costs, et cetera. I just want to understand just the expense allocation between the two and how you're comfortable that, that increase is the right increase that should be allocated to the settlement and clearing business for pricing purposes.
Andrew Tobin: So, Julian, I think you're talking -- so it's a bit muffled and difficult to hear you. But I think the question was going to the clearing and settlement allocation of costs. Is that correct?
Julian Braganza: That's right. And then just also understanding that it be clear that the increase in expenses into FY '26 is in the order of about $22 million in terms of what's being allocated to the settlement and clearing business for pricing purposes.
Andrew Tobin: So to determine the expense base allocated to clearing settlement and Issuer Services, we go through an activity-based allocation process. And so depending on where those resources are allocated, that will determine the expense outcomes allocated to clearing settlement and Issuer Services. On an annual basis, we actually published the budget number for the year ahead. And so following the end of this financial year, once we've concluded our budgets, we will be publishing the budget allocated to the clearing settlement and Issuer Services. So you'll be able to pick it up at that point in time.
Julian Braganza: Okay. But just to that number at the bottom in the appendices is $147 million that's the budgeted number for?
Andrew Tobin: That's correct. That's a budgeted number for FY '25 -- FY '26, I'm sorry.
Julian Braganza: Yes. So just to be clear, so that's a $20 million, $25 million increase from last year based on the actual expenses for last year. So I just want to be clear because it's about 50% of the increase in ASX group cost that's being allocated here if I compare like-for-like. I just want to make sure that, that's consistent with how you're thinking about the cost allocation between the group versus settlement and clearing at this stage in the investment cycle.
Andrew Tobin: That's correct. It's based on, as I mentioned, that activity-based allocation of costs to those particular activities.
Julian Braganza: Okay. Got it. And then maybe just a last question. In terms of the ROE, you've given us a fair bit of numbers there in terms of the capital of the business and expenses, et cetera. But in terms of the ROE that you're seeing within settlement and clearing at the moment for the first half based on activity levels, where would that be?
Andrew Tobin: Julian, you -- again, sorry, it's a bit muffled, but I think you're asking about the group ROE target.
Julian Braganza: Yes. Apologies. I was asking about just the clearing at the moment for first half '26 on ROE. You've given us the fair numbers in terms of the capital in the business, the D&A, et cetera. So I just want to be clear given the in the first half, where the ROE for the first half '26.
Andrew Tobin: So let me try and capture it. I think we've clearly stated our ROE targets at a group level, the 12.5% to 14%. But I think your question was also going to the clearing and settlement activities. And really, the way to think about the return in that business, it's a targeted return that determines the revenue allocation, if you like. So if you look at the slide in the back of the investor pack, the BBM slide, it talks about a targeted rate of return of 11.44%. That's the regulated cap, if you like. cap and floor for that business activity. So I think that answers your question, hopefully, Julian.
Julian Braganza: Sorry, Andrew, I was asking what would have been the ROE for the first half of '26 for settlement and clearing?
Andrew Tobin: Well, it's targeted to that return. So we -- 11.44% is the regulated cap. We mentioned today that we've included a rebate of $7 million in the clearing settlement issuer services revenue, and that really aligns that outcome with that 11.44% return.
Operator: The next question comes from Ed Henning with CLSA.
Ed Henning: A couple from me. Just the first one, just a clarification what you were just running through then on just a regulated return. Have you over earned $7 million in the period, so that is accrued. So therefore, if you underearn on the return, whether in the second half, you can then book that revenue? And the second part to that is can this be continued to accrue? Or is it -- can it be over multi years? Or is it can only be accrued for a year?
Andrew Tobin: Yes, that's a great question, Ed. So we've published our pricing policy that goes into a lot of detail around this. Effectively, it is an accrual based on our estimation of what will be paid out as a rebate to our customers, but we need to let the full year complete. And so it will be determined based on the 30 June 2026 position. And in the pricing policy, there are certain sort of, I suppose, tolerances around an under or over accrual. So, for example, if there's an over-earning of a number beyond 5% is paid as a cash rebate to customers immediately. If it's between 0% and 5%, it's really retained by the organization to offset potential ups and downs or variances into the future periods as well. I mean if I just draw your attention to the pricing policy, and it sets out the tolerances around how the mechanisms work.
Ed Henning: Okay. So this 7%, I imagine is within the 0% to 5%. So you -- just to clarify, you have booked this in the period. Okay. And -- but there could be a swing factor where if you overearn in the next period, you may not be able to book as much?
Andrew Tobin: That's correct. Think about it as the regulated rate of return, the 11.44% that we've got in the example really sets that outcome, and we sort of monitor that on a regular basis. But the true measurement is 30 June each year. At 31 December, we have booked our best estimate of that $7 million accrual.
Ed Henning: But as I said, that accrual has gone through the P&L or that is sitting there outside that hasn't been booked through the P&L?
Helen Lofthouse: It could it go up or down.
Andrew Tobin: Could it go up or down. It could go up or down. It's gone through the P&L, Ed. So it's a net rebate against the revenue we've recognized in the period.
Ed Henning: Okay. No worries. Second question for you, Helen. In the speech today, you talked a number of times about aspirational targets and work streams. Is this a potential issue for ASIC? Because I'm surely they want realistic work streams and targets, not aspirations. Are your aspirations realistic? They're actually hard targets as opposed to aspirations?
Helen Lofthouse: Well, look, I think as we reset the Accelerate program, those are exactly the questions we'll be focusing in on. I think that there's a balance to be had here, right, because the work streams absolutely need to be practical and deliverable and realistic. But they also need to really be couched in a deep understanding of our role as a steward of critical market infrastructure. And so when we talk about them being aspirational, we're really talking about being aligned with that and what are our aspirations for both resilience, for example, for Australia's financial markets, but also how do we make sure we're future-ready and supporting innovation across the markets. So we will be going through exactly those types of questions with ASIC to try and make sure we're aligned. But just to be clear, our target state definitions will be clear and measurable. But as we consider what those target states are, one of the questions we'll be asking ourselves is do they have the right level of aspiration in them given the important role that we play in Australia's markets.
Ed Henning: Okay. And just to clarify, you will not expect any material changes from the interim report to the final?
Helen Lofthouse: Well, look, I clearly don't know what's in the final report. I guess the things I would draw your attention to is the fact that in the interim report, they clearly state that the substantive findings from the inquiry panel are there in the interim report. I'm sure there'll be a lot more detail in the final report. But based on their prior comments, our expectation is that the substantive findings have already been identified.
Operator: Your next question comes from Kieren Chidgey with UBS.
Kieren Chidgey: I just have two questions. First one on costs. Following on, I guess, from that comment there, Helen, if ASX interim report is a substantive view of changes required, how should we think about, I guess, the information you've already put out to market in terms of the second half OpEx outlook. Obviously, it's stepping up 12% to 13% relative to first half. I think there was talk of various factors in there such as legal costs and volumes, but a key driver presumably is some of that response and bringing on additional people to enact that change. So just wondering sort of how much of what you think is required to be done is going to be there in second half, given it will obviously take time to sort of get all those people and processes in place. Is that a reasonable guide of the cost base as we look into '27, second half? Or is sort of that run rate in terms of the ASIC response going to step up further in '27?
Helen Lofthouse: Look, it's a really understandable question, Kieren. But obviously, to really give a good sense of what FY '27 is going to look like, we need to make sure we've done the planning to substantiate that. Obviously, when we considered the updated guidance for FY '26, clearly we considered the factors that we laid out and made sure that with some flexibility as well because, of course, we haven't done our final submission of the commitments plan with ASIC, and we're still liaising with them to make sure that our plan is in line with expectations. So we've made sure that there's some flexibility there for adjustments that we might need to make during the half. But the planning and the detailed guidance for FY '27, I'm afraid, will come by the end of June.
Kieren Chidgey: Yes. So yes, I don't want to sort of try and draw you too much on the '27 number, but maybe just to understand what you've allowed for in second half '26. So maybe you can just explain, I guess, are a lot of the cost responses that are coming through in second half in relation to the ASIC inquiry, the people, if there are additional heads, given you only announced that change sort of last month, like I presume the exit run rate at the end of the second half in terms of headcount, is that going to be particularly different to sort of where we sit today?
Andrew Tobin: Yes. Happy to provide a comment here, Kieren, as well. I suppose there's an exercise to reset the Accelerate program, and that's part of what we need to do. And as Helen mentioned, that will also be informed by the final report once we receive that. That's due to be delivered to ASIC by the end of June. And really, then I think about the sort of the ongoing cost base to be part of the Accelerate delivery program. And a large part of that program is built into our cost base I think about the nonrecurring costs in this particular year will be the ASIC inquiry costs in total. And so that guidance of $30 million to $35 million that we provided to the marketplace, I do think about that as a one-off or nonrecurring cost.
Kieren Chidgey: Yes. Okay. Second question sort of on a different subject on Sympli, we've seen AI release a couple of reports on interoperability and sort of cost benefit analysis across the system that showed, I guess, only a couple of scenarios that would drive a net positive economic contribution to the country over the next 20 or so years. Like has that altered your view or your commitment to that business?
Andrew Tobin: Kieren, happy to take that one as well. As I called out in the speech this morning, we are considering that position and considering the sort of the strategic investment that we've made in Sympli, fully aware of the sort of ARNECC reports. But ARNECC are yet to sort of, I suppose, announce a date for interoperability, and that's the key uncertainty at this point in time.
Operator: Your next question comes from Siddharth Parameswaran with JPMorgan.
Siddharth Parameswaran: A couple of questions, if I can. Firstly, Helen and Andrew, I was hoping you could just provide some color on the very strong growth we've been getting on the revenue side in cash markets and also futures and just the sustainability into the future. So where -- maybe if you could just break down retail versus in-store versus offshore. What are you seeing? Maybe just whatever color you can give about the strong growth we've seen and your expectations on sustainability in the short and medium term?
Helen Lofthouse: Maybe the comment I'd make there, Sid, is obviously, volumes for us are driven by a couple of different things. So one of them, of course, is the work we do with our customers to ensure we have market quality to add new products, new services, new trading opportunities, make sure we've got the market settings right. But of course, also a big part of it is global markets and volatility and what's happening more broadly. And so as you'd expect, the drivers of growth that we're seeing are both of those things. I think we've made a series of really important investments in capacity, in functionality for our customers, in the structural settings for our markets that are all supporting part of the volume increase that we're seeing. But part of what we're seeing is also a globally observed broad increase in market activity in both rates and the cash equity markets. So there are both kind of global macroeconomic and volatility factors there as well as the work that we've been doing to invest in and continue to grow and improve our markets to support that and make sure that we're benefiting from that increase of activity when it comes. And so if you look at long-term trends, and I'd encourage you to do that. We do have some good information, I think, on the -- on multiyear trends, then you can see that we are -- there are always ups and downs, and that's the sort of global market factors. But what we're seeing is broadly consistent with a long-term growth trend, notwithstanding that because of the ups and downs in different periods, you sort of have to draw a bit of a line of best fit there. But I think that this kind of level of volume growth is something that we've seen consistently over the years, but with some fluctuation up and down sort of in individual years given whatever market factors are at the time. Does that answer your question, Sid?
Siddharth Parameswaran: Not fully. I was just hoping you could give some color around just the composition, retail versus offshore and just also domestic -- just on the futures side, just -- I understand the long-term growth drivers and you think it's consistent, but just where we are today.
Helen Lofthouse: Yes. I think I can add a couple of things.
Siddharth Parameswaran: It's much higher than the long-term growth. The recent has been extraordinary. So just what's driving it and how sustainable is this as a base?
Helen Lofthouse: So maybe we might follow up separately and update you on the retail percentage because I don't think I have it handy. But what I would observe is that we have seen good diversification of participation in both markets. So seeing a range of different users very active in both the cash equity market and in our futures market. I think that our futures market has become an attractive market to trade on a global basis. And we're certainly seeing the diversified participation being no evidence of that.
Siddharth Parameswaran: Yes. Okay. Just a second question, just on the strategy refresh, which I think you alluded to in your presentation. Just wanted to understand what is within the remit of what the Board is considering as worthy of a refresh. The financial targets, I presume, are not going to be changed. I mean you've obviously reaffirmed today, but I'm just wondering when you do a strategy refresh, you could look at all sorts of things. You're still privy to what is on the -- what is being considered? Just keen to understand exactly what is being considered in that strategy refresh and whether all the financial targets are likely to stay and not be addressed.
Helen Lofthouse: Look, I think some of the really -- we've absolutely intended anyway to do a significant refresh at this point because halfway through our -- what we originally set out as a five-year strategy, what that means is that our current horizon for what we've currently laid out really only goes for the next couple of years. And I think it's very important for any organization that we have a longer perspective than that. But I think the factors that I would add from an ASX perspective are, firstly, that Markets and technology around market infrastructure are changing fast. We are seeing -- just as one example of that, all around the world, we're seeing significant changes in how regulators and organizations around the world are dealing with things like tokenization and digital currency. We've seen things like the GENIUS Act in the U.S. in the U.K., the Bank of England sort of Sandbox for digital currency. Now these are significant changes on a global basis and are really important for us to consider for ASX and think about what does that mean in terms of the services that we need to be offering, making sure that our strategy is supporting innovation and new services for Australia and that our technology strategy is taking account of those things as well. So, in a fast-moving environment, there's really a desire to make sure that our lens is looking not just at the transformation that's underway at the moment that's really foundational, but also what does that mean for the future? How do we make sure we're delivering future-ready market infrastructure. And of course, added to that, we have lots of stakeholder feedback, including the ASIC inquiry panels report. And I think there's important feedback from that in both how we make sure that we're really articulating our critical role in shaping and stewarding Australia's financial markets and making sure that we're very clear about how that feeds into our strategy and the investments that we're making.
Siddharth Parameswaran: Okay. Yes. So the financial targets are not part of the consideration. It's all about the future in terms of where the financial markets are heading.
Helen Lofthouse: Well, as we develop the strategy, we've obviously given some financial targets and guidance. The FY '27 expense guidance and the FY '28 CapEx guidance that we're intending to give will, of course, be informed by some of the strategic refresh that we're going through.
Siddharth Parameswaran: Yes. But the ROE targets, et cetera, medium term?
Andrew Tobin: It's medium term, and I just had a comment, that's the appropriate target at this point in time.
Operator: Your next question comes from Freya Kong with Bank of America.
Freya Kong: Just on the new pricing policy for clearing and settlements, so that was implemented 1st July 2025. Is there any need to review this? Or is it consistent with the criticisms and recommendations of the interim report that we got?
Helen Lofthouse: Do you want to take this?
Andrew Tobin: Sure. Thanks, Freya. So the new pricing policy went through an extensive consultation process with the industry prior to its implementation, and it's not part that we can see in terms of the recommendations out of the interim inquiry report at this point in time.
Freya Kong: Okay. And then I guess, given the big uplift in resourcing you expect in clearing and settlements, has this already started to be reflected in pricing? Probably that follow.
Andrew Tobin: Yes, Freya, it probably goes back to a prior question that effectively, the pricing policy really regulates the absolute return for those business activities, clearing settlement Issuer services. That goes into sort of considering the capital base. So that would include the CapEx in relation to the CHESS Release 1 and Release 2, for example. It would include costs that are allocated to those activities, and that really determines a revenue target, but that aligns to that overall return target for those business activities. And so all of those go into determining what the appropriate return is.
Freya Kong: Okay. But I guess my question is because you've increased the resourcing to the clearing and settlement facilities based on ASIC recommendations, this should naturally automatically flow into the pricing just to inform the return. Is that fair?
Helen Lofthouse: To the extent that it impacts the specific licenses that are part of the pricing policy, and that's the ASX Clear and ASX settlement licenses. Those are the two entities that provide the cash market clearing, settlement and issuer services. then yes, that would be true. The greater independence of clearing and settlement does capture other license facilities as well.
Freya Kong: Okay. Okay. Great. And then just a question on the interim report and what's really changed. But I guess the report was quite critical of ASX, but also critical of the uncoordinated approach of regulators, which has contributed to what you called a defensive culture at ASX. Since the report, do you sense there's been any change in the working relationship that you've got with the regulator?
Helen Lofthouse: Well, I think that certainly from our interactions so far, we can see that our regulators have taken that feedback very seriously and are very committed to having a very outcomes-focused approach. And it's also important to note that part of that is ASX improving our own regulatory engagement, too and making sure that we are really clear on what it is that our regulators need in order to fulfill their important function and trying to make sure that we deliver the right information at the right time as well. So I think there's a genuine commitment on all sides for that to be an important factor.
Operator: There are no further questions at this time. I'll now hand back to Ms. Helen Lofthouse for closing remarks.
Helen Lofthouse: So, thank you. This concludes our first half results presentation. And thank you much -- thank you very much, everyone, for -- on what I know is a busy day for joining us today. So, goodbye.
Andrew Tobin: Thank you.